Operator: All participants please standby, your conference is ready to begin. Good morning, ladies and gentlemen. Welcome to the CGI Fourth Quarter and Fiscal 2016 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President Global Communications and Investors Relations. Please go ahead, Mr. Gorber.
Lorne Gorber - CGI Group, Inc.: Thank you, Marie, and good morning. With me to discuss CGI's fourth quarter and fiscal 2016 results are George Schindler, President and Chief Executive Officer; and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 AM on Wednesday, November 9, 2016. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our MD&A, financial statements and accompanying notes, all of which are being filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied, and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete Safe Harbor statement is available in both our MD&A and press release, as well as on cgi.com. We encourage our investors to read it in its entirety. We are reporting our financial results in accordance with the International Financial Reporting Standards or IFRS. As before, we will also discuss non-GAAP performance measures which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are in Canadian dollars unless otherwise noted. I'll first turn it over to George for opening comments, then François will go through our Q4 and full year financial results, and finally, George will wrap with operational highlights across our key markets and overall strategy for fiscal 2017. George?
George D. Schindler - CGI Group, Inc.: Thank you, Lorne, and good morning, everyone. It is a privilege to be here discussing the results of such a high-performing global team. Fiscal 2016, CGI's 40th year, has been a remarkable one. We returned to positive organic growth in Q3 and built on that momentum once again, achieving constant currency organic growth of 2.8% in Q4. CGI has a long history of disciplined execution through our build and buy strategy. Now, we have turned this discipline to creating more profitable organic growth in fiscal 2017 and beyond. This has been my focus since stepping into the COO role some 18 months ago and continues now as CEO. By prioritizing the acceleration of our revenue growth and the quality of our mix, we plan to continuously improve all key financial metrics including cash generation, earnings per share growth, and bookings. We are entering fiscal 2017 from a position of strength. We signed a number of significant deals in fiscal 2016. Many were long-term with both new and existing clients. They included SNC-Lavalin, Sears, Le Blanc Hotel (03:17), Scottish Borders, Alberta Health, Volvo and PNC, just to name a few. Our expanded portfolio of digital IP now represents 20% of global revenue, moving closer to our IP30 goal. We are booking more deals to integrate our IP solutions and evolve both the business and IT sides of our clients' organizations. In Q4 alone, more than 30% of our bookings were specifically driven by IP solutions and services in support of digital business initiatives. For fiscal 2016, our net earnings reached an all-time high of CAD 1.1 billion, while EPS expanded by 12.5%. And with cash from operations of CAD 1.3 billion, we can invest in levers that will accelerate the successful execution of our strategy on both the build and the buy side. On the buy side, we made strategic niche acquisitions in fiscal 2016. JSL, a leading Toronto-based consultancy, specializing in banking and agile development, and Alcyane, a French high-end consulting firm, also specializing in banking. These transactions were accretive in year and immediately acted as catalysts for new growth opportunities. And we remain active again in fiscal 2017. Just last week, we completed the acquisition of Boston-based Collaborative Consulting. We warmly welcome these highly-skilled new members to CGI. Collaborative Consulting is aligned to the CGI motto. It combines deep local relationships, onshore delivery capabilities, and industry expertise particularly in the areas of financial services and life sciences. These are the right skill sets to deliver digital transformation solutions that will immediately benefit our collective clients. Consistent with our criteria, this merger will be earnings accretive in fiscal 2017. As a key element of our annual planning process, we conducted series of more than 1,000 in-depth client interviews now known as the CGI Global 1000, evenly split between business executives and IT leaders, these face-to-face discussions are conducted by CGI proximity leaders. Clients share perspectives on the trends influencing their specific industries and key strategic initiatives. We distill the findings with our own observations to provide CGI insights and a comprehensive global outlook that we share with each participating executive. Given the clear and compounding trends over the years surrounding the digital agenda globally, we published a version of the report for the benefit of all existing and prospective clients. This outlook is then reflected in our strategic plans to ensure we are best positioned to meet client demand, and as a result, drive value for all CGI stakeholders. Now, I will pass it over to Francois to discuss our financial performance in more detail.
François Boulanger - CGI Group, Inc.: Thank you, George, and good morning, everyone. I'm pleased to share our results for the fourth quarter and fiscal year 2016. For the quarter, revenue was CAD 2.6 billion, stable year-over-year, but up 2.8% on a constant currency basis. Currency fluctuations, mainly the pound, negatively impacted revenue by CAD 75 million. We were awarded CAD 2.9 billion in new contracts during the quarter and CAD 11.7 billion for the year, representing 110% of revenue. Adjusted EBIT was CAD 395 million in Q4, up CAD 16 million while EBIT margin increased by 60 basis points to 15.3%. This margin expansion was driven by higher profitability in Canada, the Nordics and the US. These improvements were partly offset by a onetime project provision in the UK. Going forward, we expect the UK to continue generating double-digit EBIT margins. For the year, our tax rate, excluding specific items, was 27%. Given an increasing level of profitability in the US, India, and France, we expect a normalized tax rate for fiscal 2017 to be in the 27% to 29% range. Net earnings were CAD 274 million in Q4, up 18% compared with CAD 233 million last year, and representing a net margin of 10.6%. Earnings per share of CAD 0.89 in Q4, compared with CAD 0.73 on a GAAP basis or CAD 0.82 excluding specific items. A significant improvement on both measures. Turning to cash, our operation generated CAD 402 million in the fourth quarter, bringing the cash from operations in fiscal 2016 to CAD 1.3 billion or CAD 4.26 per share. We ended the year with a DSO of 44 days in line with our 45-day target. We continue to invest our cash to have the most accretive impact on the business. In fiscal 2016, we invested more than CAD 350 million back into our own business by opening cyber-security centers in Finland, France and the Netherlands, innovating alongside clients and through our internal innovation program, expanding our global delivery capacity both on and offshore, and investing in robotics and automation tools in delivery centers, driving efficiency for our clients and profitable growth for CGI. We acquired Alcyane and JSL, as George mentioned. We invested CAD 518 million, repurchasing 9.3 million shares at an average price of CAD 55.56. Under the current share buyback program we can purchase an additional 14.3 million shares before February. And finally, we repaid CAD 183 million of long-term debt. Net debt was reduced by CAD 446 million during the fiscal year to CAD 1.3 billion. As a result, net debt to capitalization was 15.8%, an improvement of 590 basis points. As a reminder, for fiscal 2017, we have a single debt payment to make of CAD 112 million due this quarter. With respect to the acquisition of Collaborative Consulting, we paid $115 million and expect to incur approximately CAD 3 million in restructuring charges this quarter as we complete the integration. With access to CAD 600 million in cash and CAD 1.5 billion in available credit facilities, and more if needed, we continue to have the flexibility to fully execute our build and buy profitable growth strategy. Now I'll pass the call back to George.
George D. Schindler - CGI Group, Inc.: Thank you, François. As I mentioned earlier, the overarching priority for clients at this time is to transform to become digital organizations. That transformation agenda is well under way globally, and CGI is at the heart of this shift. With that in mind, let's briefly review the Q4 highlights from our global operations, beginning in North America. Canada posted organic revenue growth of 4.2% as transformational outsourcing deal signed in 2016 convert into new high-quality revenue. At the same time, the demand for high-end IT consulting and digital projects remain strong, particularly in financial services where Q4 book-to-bill with Canadian banks was over 250% and included significant IT-related awards. In the US, commercial revenue grew organically by 8% in Q4, driven by particular strength again in financial services but also manufacturing and utilities. The pipeline continues expanding as transformational outsourcing opportunities progress and higher value digital engagements are added. In our US federal business, Q4 bookings were strong at 190%. As a new administration comes in, existing contract vehicles are often leveraged to rapidly implement early initiatives. Having earned a spot on 58 agency or government-wide contract vehicles over the years, we are well-positioned to capitalize on these potential new opportunities. Looking across the pond, the UK grew by 14% in Q4 as key wins such as the City of Edinburgh continued converting into top-line growth. Like Edinburgh and Scottish borders, the City of Glasgow is now considering its path towards digital transformation. They recently selected CGI to build a business case and long-term road map towards this very goal. Enabled by the initial competitive process run by Edinburgh, this contract vehicle facilitates the path for 17 additional municipalities, including Glasgow, to begin designing their future state directly with CGI as the digital transformation partner of choice. In Eastern and Central Europe, despite challenges in the Dutch public sector, we have seen continued strength in Germany and Belgium, which grew 4% and 14%, respectively in Q4. With a deep focus on digital, we are seeing stronger bookings and a healthier pipeline of higher value opportunities across the region. For example, we've expanded our partnerships with several of the world's leading car manufacturers, specifically in Germany, to strategically integrate technology to improve the driver's digital experience. Across the Nordics, we saw improving profitability with EBIT margin rising to 12.2%, as the benefits of restructuring actions previously implemented are taking hold and demand for our IP is increasing. However, as we continue to move portion of our existing client business offshore, the result is a temporary headwind on revenue. France, finished fiscal 2016 strong, growing 9% in Q4 and posting an EBIT margin of 12.6%. We saw demand increase across all vertical markets with strong double digit growth in financial services, government, and manufacturing. A recent win with chemical giant Solvay, once again demonstrates that transformational outsourcing and modernizing legacy IT is a key step on the digital journey for large enterprise clients. And our business consulting expertise is also serving us particularly well, as a wedge to longer term, transformational engagements. Finally, growth in Asia Pacific was led by our India global delivery centers. Revenue grew organically by 14.2% in Q4, while EBIT margin of 18.7% was up 390 basis points. Turning to strategy, in this extraordinary time to be in business, change will continue happening faster, and more broadly than ever before. Our clients face a competitive urgency to connect their legacy environments with the digital operating model required to meet the needs of their customers. As an end-to-end provider, we are well-positioned to be our client's partner of choice for digital transformation. We exploit three strategic levers to help them reach this goal and in turn drive growth for CGI. High-end consulting and systems integration with an additional focus now on digital. Transformational outsourcing supporting both run and change initiatives. And intellectual property acting as a digital business accelerator. These are the organic levers that we will stay focused on exploiting throughout fiscal 2017 and beyond. So, let me end with the two levers of our buy-side strategy. As François pointed out, we have the capacity necessary to execute large transformational deals while at the same time we can continue to make niche acquisitions similar to the Collaborative, Alcyane and JSL transactions. Each first appeared on our radar screen as part of the Global 1000 discussions with our clients. Market conditions continue to favor consolidation in response to client demand for global partners. In fact, we see vendor consolidation as an ongoing response by our clients to meet operational efficiency targets and to invest in their digital transformation agenda. In turn, we will make investments in both the build and the buy side of our strategy to ensure we are always qualifying and continue being down selected as a preferred partner in all key geographic areas. With respect to our funnel up(17:34) targets, we have visibility into a significant number of deals both transformational and niche players. The funnel is healthy and reflects the highly fragmented nature of our industry. It includes thousands of possible targets, both private and public, across all existing geographies. We are actively engaging with potential sellers at various stages of the buy cycle. In closing, we are confident in our ability to continuously improve the top and bottom lines by utilizing all of our strategic levers on the build and buy side of the CGI strategy. So, with that, let's go to the questions, Lorne.
Lorne Gorber - CGI Group, Inc.: Just a reminder that a replay of the call will be available either via our website or by dialing 1-800-408-3053 and using the pass code 9337285. That will be available until December 10. As well, a podcast of the call will be available for download within a few hours. And as usual, follow-up questions could be directed to me at 514-841-3355. So, Marie, perhaps we could pull up the questions from our listeners.
Operator: Thank you very much. So, we will now take the questions from our telephone lines. We have a question from Richard Tse from National Bank Financial. Please go ahead. Your line is now open.
Richard Tse - National Bank Financial, Inc. (Broker): Yes. Thank you for those comments, George. When you look out over the next 12 months, can you maybe give us some perspective on where you see areas of momentum whether it be geographic by region, by vertical or specific products?
George D. Schindler - CGI Group, Inc.: Yeah. So, I can answer that. Thanks, Richard, for the question. We actually see as – let me start with some context. We see the digital transformation opportunity as something that is broad across the market, and that's exactly what came through in our Global 1000 report. In fact, 70% of leaders cite the rising influence of customers and citizens as a key driver in their business models. That is driving demand and is driving demand maybe faster in the consumer-intensive industries like financial services and banking, specifically on the retail side, as well as retail. But it also is driving it across all the industries at different paces. So, maybe a little more continuous we see on the banking side. And then, again, across each of the regions and I think the strong book-to-bill that we showed this quarter in all of the areas strongest which was in the U.S. this quarter shows where some of that growth is going to be over the next 12 months.
Richard Tse - National Bank Financial, Inc. (Broker): Okay. And then with the change in administration that's coming, and you guys obviously do a substantial amount of work on the government side in the U.S., do you see kind of any meaningful impact there from the changes based on what we can tell now, whether it's positive or negative?
George D. Schindler - CGI Group, Inc.: Yes. So, I always say that there's a natural cycle of government. In every four years or eight years, the administration is going to change. More and more with that change, there's opportunities that are driven because any new priority for a new administration, whatever that administration might be, does drive some change that requires technology in today's world. And so there are opportunities that's why I pointed out the 58 vehicles that we're on because if you want to get the initiative done quickly, particularly given the U.S. procurement regulations, you want to do that as a task order under existing vehicle and we see that happen all the time. On the other side, I would tell you that most of the work – the abundance of the work that we have in the U.S. federal business is mission essential work. And so that will continue regardless of the new priorities that administration brings in. So, early days, obviously, the morning after the election, but that's really how we approach the – what I would call the natural cycle of government.
Richard Tse - National Bank Financial, Inc. (Broker): Okay. And just one last quick one for me. I sort of – you caught my attention with your comments on this auto partnership and enhancing sort of the digital experience on that. It kind of seems outside the realm of what you've historically done. Could you elaborate on what you're doing there to the extent that you're allowed to?
George D. Schindler - CGI Group, Inc.: Yeah. Well, yeah, I can't talk about specifics, but I think it's a great example and the reason I highlighted it, it's a great example of where technology is now entering the market in totally different ways. The driver selection, obviously the primary purpose of the car manufacturers still is really on the overall driving experience, and yet, what we see more and more is not just the mechanics of the driver experience, it's the digital driver experience. And so, it's all the areas you might think of. It's all the real-time systems that are in a car, whether it's the navigation systems, whether it's the interface on the – on some of the real-time music, et cetera. It's everything. And so, we're involved in the testing of that. We're also involved in some of the development of that.
Richard Tse - National Bank Financial, Inc. (Broker): Great. Thank you.
Lorne Gorber - CGI Group, Inc.: Thanks, Richard.
Operator: Thank you. We have a question from Steven Li from Raymond James. Please go ahead. Your line is now open.
Steven Li - Raymond James Ltd. (Broker): Thank you. George, maybe I'll ask a different question on the U.S. business. The bookings look quite strong in Q4, but what are some of the areas that still need to improve for the U.S. to show organic growth?
George D. Schindler - CGI Group, Inc.: Yeah. So, we did have – I'll start with this, we did have sequential organic growth across the U.S. So, certainly along with those bookings that's a positive outlook as we move into the future. I think it's really about the scale. And it's part of the reason that we did make the acquisition of Collaborative Consulting. We still need to get more scale, particularly in various metro markets. So, Collaborative is a great example because alone they are very high-end consulting and systems integration, a key lever of the CGI's growth strategy, but they can't really play in the larger transformational outsourcing deals, yet they have visibility into them. They don't have any intellectual property, yet they have deep relationships in the various areas, and that's why I highlighted financial services with the industries that we have intellectual property to be leveraged. So it's a – I think that's something that I would see us doing more of, not just in the U.S. but in any of our geographies where we believe that we're underleveraged from a scale perspective.
Steven Li - Raymond James Ltd. (Broker): Great. And the U.S. election results last night, does that benefit CGI's onshore vendor in the U.S.?
George D. Schindler - CGI Group, Inc.: Well, I think that, as you know, we will stay true to our motto, which has always been client proximity, because we need to be close to our clients in order to understand their needs, and I highlighted that in the script, complemented by a global delivery model. And as you know, we've never gone straight to offshore or onshore. It's a global delivery model. So, I like where we're positioned in the global marketplace with or without this election.
Steven Li - Raymond James Ltd. (Broker): Great. One last one, the lower margins in UK, is that a result of the – of contract ramping cost, and does it rebound in upcoming quarters? Thank you.
George D. Schindler - CGI Group, Inc.: Yeah. It was isolated to one specific project. We don't, as a practice, talk about isolated projects, but we're certainly on a path to resolve that and it's a onetime.
Steven Li - Raymond James Ltd. (Broker): Thanks.
George D. Schindler - CGI Group, Inc.: Okay.
Lorne Gorber - CGI Group, Inc.: Thanks, Steven.
Operator: Thank you. The next question is from Maher Yaghi from Desjardins Capital Markets. Please go ahead. Your line is now open.
Maher Yaghi - Desjardins Securities, Inc.: Yes. Thank you for taking my question. Historically, the stock has reacted quite sensibly to EPS growths. And as you enter fiscal – the next fiscal year, I wanted to ask you how you see EPS growth taking hold. Historically, we've seen the company report double-digit EPS growth on a consistent basis. How you view fiscal year 2017, where is the growth in EPS going to come from? Maybe if you can talk about the margin expansion, revenue growth, or buyback and how you put all together to – for your outlook for fiscal year 2017?
George D. Schindler - CGI Group, Inc.: Sure. No. Thanks for the question. As you're aware, we – and as I mentioned in the script, we remain committed to continuous improvement on all the key financial metrics, obviously earnings per share being an important one, and driving that with consistent returns with our historic past. Having said that, you're right. Where we're going to drive some of that growth and earnings per share expansion changes a little bit given how we're now positioned and moving to revenue growth. So, we're still going to get some of that from operational excellence. And I believe there are still opportunities, in fact, to do that, and that's part of our plan. Having said that, the quality of the mix continues to be important and you saw the strong bookings we had in intellectual property, which is really now a digital business enabler and plays right in to the demand that we see from our clients, and that's why you see that continued growth. In fact, there's a bigger opportunity as we take that intellectual property and move it to a software-as-a-service. It does two things. One, it drives additional profit for us, but it also enables us to move that across geographies easier. But the third dimension that is, I think, has momentum now is as we continue to grow the revenue, more of that will drop now to the bottom line and provide us with that EPS expansion. So, it's a balance across all of it. And that's all part of our plan for fiscal 2017.
Maher Yaghi - Desjardins Securities, Inc.: Okay. Great. And just a follow-up on – thanks for the lot of visibility on IP side. Can you characterize the spread of that IP on the booking side? Is it compartmentalized in certain sectors or is it across the platform?
George D. Schindler - CGI Group, Inc.: Yeah, it is across the platform, but it is highly concentrated right now in financial services and government because that's where we have more of the IP. Having said that, we had IP bookings across every one of our geographic units and we also had it across each of the industries just at different levels. A lot of the IP is still based in North America, but we're gaining traction moving that across each of the geographies. And as I said, some of our investments are actually move some of that IP to a software-as-a-service so that we can gain more of that traction across each of the geographies. Does that help?
Maher Yaghi - Desjardins Securities, Inc.: Thank you, George.
Lorne Gorber - CGI Group, Inc.: Sure. Thanks, Maher.
Operator: Thank you. The next question is from Thanos Moschopoulos from BMO Capital Markets. Please go ahead. Your line is now open.
Thanos Moschopoulos - BMO Capital Markets (Canada): Hi. Good morning. George, financial services has clearly been (30:23) for you in Canada helping that region return to growth. Can you remind us on some of the factors specifically driving Canadian financial services? Is it primarily digital or is there anything else you call out there?
George D. Schindler - CGI Group, Inc.: Yeah. I think there's a couple things that we see driving some of that growth particularly in Canada. And it is their desire to move rapidly to more of a digital model. In order to do that, that requires them also to move faster as organizations. And as they have to move faster, it does two things. One, it drives more of that proximity revenue because if they're going to implement a project in an agile way very rapidly, it drives more of those – the expertise to be on site working directly with the client. And so we've actually seen growth in that area. It also, as they look to move more rapidly, they are adopting the broader suite of CGI intellectual property and IP. And so, again, we see a lot of growth there in the banks. And then we see a lot of receptivity, not just in the Canadian banks but more broadly. We see a lot of receptivity right now in selecting a single vendor or a smaller set of vendors to help them on both the run side and the legacy and on the chain side as they move to a more digital experience for their consumers and customers. And so we're seeing growth there as well. In fact, they're doing some of the work on robo-advising, et cetera, with some of the Canadian banks. So, we're working on both the run and the chain side, and they're seeing that the two are becoming closer together, and they're looking for more of the single partner. So, I think some of our growth is probably taking some of that away from some others. And our acquisition of JSL, JSL couldn't play on both sides. They're playing on the chain side, but they couldn't really play on the run side, and so bringing them into the fold is another way that we can grow.
Thanos Moschopoulos - BMO Capital Markets (Canada): And then looking at financial services more globally, obviously some of your competitors have called out areas of weakness in the U.S. and in Europe. So, just to clarify, you're not seeing that from the sounds of it (32:51), maybe for some of the reasons you highlighted as far as IP initial.
George D. Schindler - CGI Group, Inc.: That is correct.
Thanos Moschopoulos - BMO Capital Markets (Canada): Okay. And maybe one last one from me. In terms of capital deployments, you highlighted the large payment that's coming due this quarter. Looking past that, how should we think about your priorities as far as debt repayment versus share buybacks, can you remind us of your target capital structure and whether you are approaching that?
George D. Schindler - CGI Group, Inc.: Yes. So, I'll remind you and pretty much the way François went through, the way we look at deploying our capital is the order of importance. Obviously, reinvesting in our business is the most important way that we can do that both organically through our IP and other investments we make in client contracts as well as in accretive acquisitions like we discussed on the call. But maybe François, you can jump in on the...
François Boulanger - CGI Group, Inc.: Yeah. So, you're right. We have only one payment to do in the next quarter. That's the only payment for – until after that, 2018. So, on the debt side, it will be very low activity. Also when you'll read the financial statement, you'll see that we did renew our credit facility. We renewed for next four years, so we're not – two (34:09) extra years. Sorry. So, we're at five years now of credit facility, still CAD 1.5 billion. So, for sure, as George indicated, we are very active on the acquisition side, so we are looking. And naturally, if it's not happening or depending when it's happening, we will go back in the market and doing some share buyback.
Thanos Moschopoulos - BMO Capital Markets (Canada): Great. Thanks, guys. I'll pass the line.
Lorne Gorber - CGI Group, Inc.: Thanks, Thanos.
Operator: Thank you. The next question is from Paul Steep from Scotia Capital. Please go ahead. Your line is now open.
Paul Steep - Scotia Capital, Inc. (Broker): Great. Thanks. Sure. George, François, maybe you can carry on just on the topic we were on. How should we think about the level of investment in the IP portfolio into 2017? It sounds like you're bullish at least on the opportunities certainly in the financial segment. Is there a thought about accelerating investment into that next year given your view of presumably the window of opportunity in digital transformation?
George D. Schindler - CGI Group, Inc.: Sure. So, let me just maybe go through kind of how we think about an investment in IP and then maybe, François, you can comment. But when we're looking at investing in the IP, the first thing we look at is our existing IP. So, we look at stringing together some of the various piece parts and bringing that into a combined offering. So, that's some of the investment we've done in a Protect the Bank offering. It's a good example of that where we had some intellectual property on the security side, on the anti-money laundering side, on the case management side, string that together into a collective Protect the Bank offering, which is – which gives a higher value for the client and therefore higher value for us. It also includes allowing our IP to travel. A good example of that is the ProperPay IP that we have, which is – which was narrow built for helping us identify fraud, waste and abuse in the U.S. federal government. That now is a commercial offering in the U.S. But now by moving it to a software-as-a-service and the cloud offering, we can more easily deploy that in other locations and do that in a secure way because the data now stays in resident in country. But we're also looking at new intellectual property, so – and we still do that though in partnership with our clients. So we have an IP going on right now in the UK. We're investing – we're co-investing, if you will, with a consortium of clients around a digital secure collaboration platform. So, we still want to do that in conjunction with our clients. We get new ideas that come in from our innovation program for our members. We believe innovation comes at the shop floor. And then, an exciting new offering that we have in our transformational outsourcing deals is we offer our clients a joint innovation fund where they can take some of the savings that we're giving them from the outsourcing effort. We match that with some innovation funds of our own, and we jointly create some of the change initiatives for the client, some of that we can reap as IP. So, all that is accelerated and many of those new IP we're actually doing ourselves deploying agile methodologies. So, we already are accelerating that, not necessarily just by increasing the dollars but by increasing the return on the dollars we are investing. But François?
François Boulanger - CGI Group, Inc.: Yeah. So, just to continue, as George indicated, we're doing a lot of these investments with also the client, so we won't see necessarily a pressure on the investment side, on our side. So, yes, you can see some increase but we are – it's very important to us to do it with the client. And so, naturally clients are participating in the investment.
Paul Steep - Scotia Capital, Inc. (Broker): Okay. Just a follow-up. Maybe on the Nordics to get operational for a minute here. You've had good success in moving and calling out some legacy contracts. Where are we in the process, George, at this point? Are we halfway there? How should we think about the potential to maybe bring margins not, obviously, the U.S. levels, but maybe into the mid-teens on an adjusted EBIT basis?
George D. Schindler - CGI Group, Inc.: Yeah. No. That's a good question. We're definitely on the path. But I think it's a balanced path on both. As I highlighted, we did some of the restructuring and moved some more of the work to our offshore locations. But part of that is not just to drive those accretive bottom line improvements, but it's also to position ourselves for the growth. And so we are still focused on that. There's a strong economy there. There's opportunities for us to continue to grow. We have a leadership position in many of our clients and we actually are seeing that in some of our clients where they're looking for us to move from just a run and into the change and that changes our mix and that improves our bottom line, as well, in the Nordics. So, we're on the path. I can't tell you exactly, I can't predict exactly where that's going to be, and as you know, we don't give guidance but we're certainly on a path there, and I'm encouraged.
Paul Steep - Scotia Capital, Inc. (Broker): The last one for me. Just a high level, we've had a good, really good bookings year. How should we think about just major renewals in 2017? I don't have anything in mind, in particular, but just want to make sure there's no larger bumps, seems like you've sort of smoothed it out over time but...
George D. Schindler - CGI Group, Inc.: No, I think we actually have, many of our larger renewals, particularly in North America, behind us. So, really that's why you see the emphasis on the growth side. I think that's really the emphasis as we move into 2017.
Paul Steep - Scotia Capital, Inc. (Broker): Thank you.
Lorne Gorber - CGI Group, Inc.: Thanks, Paul.
Operator: Thank you. The next question is from a Robert Young from Canaccord Genuity. Please go ahead. Your line is now open.
Robert Young - Canaccord Genuity Corp.: Hi, good morning. Just continuing our theme on the bookings, over the last 12 months you had strong book to bill, even if you extend back 24 months, certainly higher than the growth (40:36) would suggest. And I was wondering if you could talk about how that bookings, or how those bookings are going to convert into revenue? Is this a lengthening of contracts or are we going to see the top line growth start to trend towards that book to bill metric?
George D. Schindler - CGI Group, Inc.: No, I think what you saw historically over the last 24 months is a renewal, if you will, of the make-up of those bookings. So, a lot of, as we know, the infrastructure business is going -been going through a transformation, as we go through that transformation, CGI has moved, has really moved and embraced the change and moved to more of an asset-light environment. A lot of our recent bookings were more asset-light. As the storage prices come down, as the infrastructure and move to the cloud changes, the makeup of that revenue changes. So, it's higher-quality revenue but initially at maybe a lower dollar amount, but we're through a lot of that transformation. The good news is the services is at a higher margin, and so it gets back to the quality of mix. So, I think that's what you've been seeing. So, yes. I do see. You'll see more of that booking dropping into the revenue line as we move forward throughout the year.
Robert Young - Canaccord Genuity Corp.: Okay. Second question from me would be around the U.S. bookings. In the past, your predecessor framed the size of the pipe in the U.S., and there's a pretty big opportunity there. With bookings here this quarter, have you've drawn that down significantly, or is there still good opportunities in front of you in the U.S.?
George D. Schindler - CGI Group, Inc.: No. It's a massive market. And, in fact, we've added the pipeline even with the strong bookings that we've had. And, again, it's my example of Collaborative. We will see probably a dozen deals add to the pipeline in those two other areas of our strategy in addition to their strong systems integration and consulting skills. So, I believe there's more to be seen there. And, again, it's driven by the demand that we see in the Global 1000 around becoming more digital and going to more of that single provider. We do see that trend. I highlighted that in some of the vendor consolidation going on. So, actually I think the pipeline is robust.
Robert Young - Canaccord Genuity Corp.: That's great. Last question for me is just on the acquisition of Collaborative Consulting. Just based on the metrics you've shared, it looks as though you've been able to acquire that as a reasonable valuation, and I think U.S. commercial has been an area where people have assumed that you wouldn't be able to get reasonable valuation. So, why is that? Are there a lot of targets that you can get at this type of a valuation level that can further this digital strategy and some of the areas you're trying to push into? And then I'll pass the line.
George D. Schindler - CGI Group, Inc.: Yes. So, no – thanks for the question. As I mentioned, it's a highly fragmented market. And so it's really a matter of sifting through and finding the right company. And of course, we stay committed to the right time and the right price. And I'm glad you pointed out that this was a good valuation for what we're bringing in. But I think it also demonstrates that we can and are willing to do those type of acquisitions we turned down more than we take. But like I said, there are thousands out there. And I think the most exciting part is each of those niche acquisitions that we were able to accomplish over the last 12 months, each of them came directly from discussions that we had with our clients. And that's why that's so powerful in the Global 1000. It's also unique because they are person-to-person discussions with our client proximity leaders, so a leader to a leader. You find out very different opportunities when you have that type of discussion on both the organic side and, as we just proved here, on the inorganic side. So, I think there's more there.
Operator: Thank you. The next question is from Jim Schneider from Goldman Sachs. Please go ahead. Your line is now open.
James Schneider - Goldman Sachs & Co.: Good morning. Thanks for taking my question and congratulations on the continued growth on the top line.
Unknown Speaker: Thanks. (45:16).
James Schneider - Goldman Sachs & Co.: Wondering if you could maybe talk a little bit about your head count and hiring plans. By our calculation, head count was up a little bit, over 2% in the quarter. And I guess, can you maybe comment on as you look to sustain that growth, do you expect to add head count and personnel at the same way that you did the last couple of quarters throughout this year?
George D. Schindler - CGI Group, Inc.: Yeah. So, just to remind you that those head count numbers are really updated only annually. And so some of that growth happen throughout the year. It is focused on the entirety of our model. So, some of it is in the client proximity areas, particularly in the skill sets that you might expect around digital transformation, around security, around agile methodologies. The largest of that came from our France unit and then also from our Canadian units, so you'd expect that, given where we're coming from. In addition, we had growth in our global delivery centers across the world led by India. So again, I think it's proof point to the balanced model and the way it works. And yes, we will see some of that head count. But again, I would advise you as we look at changing the quality of the mix, the more IP is actually is not as head count-driven. And so, we can grow our revenues both through the head count and meeting our clients' needs, but also on the other side. And we continue to invest in operational efficiencies particularly using automations and robotics, which actually helps us drive more revenue with less people.
James Schneider - Goldman Sachs & Co.: That's helpful. And then maybe as a follow-up, maybe for François. Tying off the earlier comments you made regarding EPS growth, can you maybe just be on the top line, talk about how much room for margin expansion on the EBIT side that might be (47:23), and specifically call out any kind of – any quantified cost initiatives you have in mind as target for fiscal 2017?
François Boulanger - CGI Group, Inc.: Yeah. Thanks for the question. So, clearly we still have a lot of space on the EBIT side. Again, it's a journey, not necessarily you will see all the improvement next year. But again it's like U.S. several years ago, we were in the low teens, and now we're doing 15%, 16% in the U.S. So, the idea is to continue to do the same in Europe. We have still a lot of space to move. For sure, some of it will come from the mix like George was saying, mix of revenue, we've foreseen it, selling more IP like we're doing in North America. More outsourcing contract naturally is bringing some efficiencies and again can improve a lot the EBIT margin. And again, we're always looking at seeing on the cost side and the overall SG&A to improve year-over-year. And so – but again it's not something you'll see necessarily next year – full impact next year. But it's always an improvement year-over-year.
George D. Schindler - CGI Group, Inc.: Yeah. I would just add to that. It really is we see multiple opportunities in each of the areas I highlighted before, whether it's a quality of the mix. And quite frankly, the pricing power you have as you move up the value chain and when we talk about pricing powers, it's really because as we move to more of the change initiatives, we're not just talking about saving money, we're talking about driving revenue for our clients. That's uncapped and therefore it comes as a different value equation. Obviously, the intellectual property plays into that as well. But the growth is also an important driver to that overall EBIT expansion as well, because as François said, we don't need to add as much overhead. We will continue to be operationally disciplined. And quite frankly, we're also moving to more of a digital organization ourselves. That drives savings on our overhead as well. And so we're making those investments as well as we speak. So, I think there's a number of different opportunities for us to continue this EBIT expansion, and it is not based on cost-cutting alone.
James Schneider - Goldman Sachs & Co.: Thank you.
Lorne Gorber - CGI Group, Inc.: Thanks.
Operator: Thank you. The next question is from Phillip Huang from Barclays. Please go ahead. Your line is now open.
Phillip Huang - Barclays Capital Canada, Inc.: Hi. Thanks. Good morning. Just a quick question on AP (49:57). There's been some changes to the management team with George's appointment as CEO specifically in the UK and ECS Europe and M&A. I know that such changes are quite typical for the company at this time of the year historically. But I was wondering if you could elaborate a bit on the initiatives behind the changes and what we could expect to see in those areas of the business in the year ahead.
George D. Schindler - CGI Group, Inc.: Yeah. I think you answered it well. It is our practice every year to evolve our leadership team to make sure that for the plan that we put together, we have the right team in place to execute to that plan. So, this was an evolution of our leadership to make sure that we have the right team again for the plan that we have in place. So, I think that I really feel good about the team that we have in place. We have some very strong global leaders, and they're the right leaders to lead us forward in the initiatives that I outlined in the script. So, I wouldn't read any more or less into it. It's our regular practice.
Phillip Huang - Barclays Capital Canada, Inc.: That's helpful. And maybe just to expand on the macro environment a bit. There's certainly, I remember, a bit of fear following the Brexit votes. Certainly it doesn't look like there was any impact of Brexit in the quarter, and many of your peers have also not seen any signs of material impact from Brexit. But some of the Indian-based service providers have sounded a bit more of a cautious tone on macro uncertainty. I was wondering if maybe you might be able to put that -- help us put it in context what's different between in terms of what they're facing versus what you're seeing, and perhaps any insights on the subject you've gained from the Global 1000. Thanks.
George D. Schindler - CGI Group, Inc.: Yeah. Yeah. No. I think that's a great question. Let me start, I think – let me start with the end when you talk about the Global 1000 takeaway. One of, I think, the interesting takeaways from those discussions was that although we see that a number of our clients, those that we talk to, I think over 70% actually have digital transformation initiatives in place. It's not just about technology. 72% of those executive saw internal resistance to change as the biggest barrier to implementing their enterprise-wide digital transformation. What does that mean for us? What that means is there's a dimension of that on-site change management consulting, helping them with their digital road maps, helping them stay on track versus just taking everything offshore. So, I think that's an important takeaway from the Global 1000. Having said that, as you know, change is good if you have an end-to-end services offering, end-to-end in the model where we have the client proximity, as well as the global delivery environment where we can work on the high-end consulting straight through to the run and operate. So I believe that the macro environment changes play into our model and probably don't if you don't have that end-to-end offering.
Phillip Huang - Barclays Capital Canada, Inc.: That's very helpful. Thanks.
Lorne Gorber - CGI Group, Inc.: Thanks, Phil.
Operator: Thank you. The next question is from Jason Kupferberg from Jefferies. Please go ahead. Your line is now open.
George D. Schindler - CGI Group, Inc.: Hey, Jason.
Jason Alan Kupferberg - Jefferies LLC: Hey. How are you? So, I just want to follow-up on some of the digital commentary. I know that there's lots of different definitions in the market around what's digital, what's not. I would just be curious, your perspective in general, how you guys are defining it as you go to market with your digital offerings and if you had to try and size it, at least, in terms of a range as far as the percentage of CGI's revenue that you feel is coming from digital, would just love any perspective on that.
George D. Schindler - CGI Group, Inc.: Yeah. Well, I'll end with a general comment. Although we don't breakout our digital growth, you can be sure that, and I think I mentioned this, on all of our IP bookings they are linked directly to business digital offerings. The way I define digital is more around the model itself and all our clients moving to a model where they can provide more of a digital experience, whether it's self-serve or empowering their consumers or citizens through technology. And so that's – it's a pretty broad definition as you see us (55:06). I guess everything we do at one level is digital given that its technology is digital at its core. But that's the way I talk about is more on that business model, not just on deploying technology in a different way. So that's – it's really on the business side.
Jason Alan Kupferberg - Jefferies LLC: Okay. And maybe just one last quick one on the election. As it relates to the U.S. and maybe even globally, the commercial side of things, just given that the surprise outcome does create some level of uncertainty, I mean, would there be any concern that the rate of pipeline conversion in the industry or decision cycles get elongated here until there's greater clarity on what the new administration's priorities are?
George D. Schindler - CGI Group, Inc.: I can't really predict this. As you know, business is pretty resilient. And that's certainly what we've seen also in the UK. But I think it does play, Jason, to the balance of our business. As you know, we have a nice balanced portfolio between commercial and government. And again, when administration changes, any change will require some technology. So, I don't see any big impact today.
Jason Alan Kupferberg - Jefferies LLC: Okay. Well, thank you for the comments.
George D. Schindler - CGI Group, Inc.: Sure.
Unknown Speaker: Thanks, Jason.
Operator: Thank you. The next question is from Paul Treiber from RBC Capital Markets. Please go ahead. Your line is now open.
Paul Treiber - RBC Capital Markets: Thanks very much and thanks for squeezing me in. I just wanted to focus on CGI's buy strategy for a moment. There's been, as you mentioned, a lot of consolidation in the industry. What are your thoughts on large transformative acquisitions at this point, and particularly in regards to the three levers that you mentioned? Some of the candidates out there, do they provide you enough significance with those three levers to make up for perhaps some baggage that they may come with?
George D. Schindler - CGI Group, Inc.: Yes, we are focused, as I mentioned, on both the niche. We've had some success on the niche, but we do have a healthy view into some transformational deals as well. We stay close to that. We see virtually every deal that is potentially going to hit the market or hits the market. So, we're very, very attuned to that. And to answer your question, yes, I do see opportunities in helping to drive each of those three levers. And quite frankly, many of the transformational deals out there, they cannot resist the move that is going on in the industry. And so they're doing some of that work themselves now. So, I think there – I only see that becoming more attractive to us in the future.
Paul Treiber - RBC Capital Markets: And elaborating on that, do you see or could you outline some priorities in terms of your geographic regions or verticals, other areas that you'd be interested, where you see gaps that you may want to fill?
George D. Schindler - CGI Group, Inc.: Yeah. Well, clearly the U.S. remains a big market for us. I believe we've mentioned on previous calls that Germany is a very strong area for us. UK, what's interesting is, is I think we're now at the levels of the UK pound where we were when did the Logica acquisition. So that actually is a tailwind for us from that respect. So, those are three of the big areas. But, again, I want to mention that we have a pipeline in every one of our geographic areas, both niche, as well as potential transformational opportunities. And for us, I'm still looking at transformational opportunities as being anything over CAD 300 million.
Paul Treiber - RBC Capital Markets: All right. Thank you. I'll leave it at that.
Operator: Thank you. The next question is from Ralph Garcea from Cantor Fitzgerald. Please go ahead. Your line is now open.
Ralph P. Garcea - Cantor Fitzgerald Canada Corp.: Yes. Good morning, gentlemen, and thanks for taking my questions. Just two quick ones if I may. First, on the Glasgow contract. That deal has to go to the council for vote. They voted obviously to go ahead with the contract. Now with that one (59:42) Scottish borders, does it make it easier to get the other 14 or 15 municipalities or do they have to go through the same process? Can't they use these two as sort of reference sites?
George D. Schindler - CGI Group, Inc.: Well, it's – thanks for the question, Ralph. The overall contract vehicle can be leveraged by everybody. There's a scale play and an efficiency play obviously associated with doing that. And as some of the larger municipalities go, I would expect that that would make it potentially easier. But each of them has their own business case. And with Glasgow, it really is first to drive the business case. But it is an agile procurement model. So, I certainly don't see it hurting the opportunities moving forward.
Ralph P. Garcea - Cantor Fitzgerald Canada Corp.: Okay. And then, in the U.S., I think you're well-positioned with the results from last night given your nearshore center. I think you've got five right now. I mean, is there any plans to increase that in the U.S. or that head count to the five you have set up?
George D. Schindler - CGI Group, Inc.: We are, as you know, as I believe we've talked about in the past, we have a pretty rigorous process that we go through to evaluate and open centers around the world because, again, it's not just a labor arbitrage play. It really is a center of excellence. And so, the broad answer to your question is we're always looking for those opportunities because it drives value to our clients. And so, we'll have to see. There could be a reason to do that more aggressively, but we obviously also have a pipeline of centers that we're always looking at.
Ralph P. Garcea - Cantor Fitzgerald Canada Corp.: Okay. Thank you.
George D. Schindler - CGI Group, Inc.: Thanks, Ralph.
Lorne Gorber - CGI Group, Inc.: Marie, we'll have time for one last question.
Operator: Thank you. So, the last question is from Stephanie Price from CIBC. Please go ahead. Your line is now open.
Stephanie Price - CIBC World Markets, Inc.: Thanks for squeezing me in. François mentioned that an area of spending is robotic. So, I was wondering if you could talk a little bit about the work you're doing in robotics and process automation?
George D. Schindler - CGI Group, Inc.: Yeah. So, a lot of that right now is centered – thank you for the question, Stephanie, a lot of that right now is centered around some of that transformation that I talked about on the infrastructure side, on the large outsourcing deals. So, we're seeing some opportunities to drive efficiencies by automating more of that – those back-end processes around the infrastructure side. We're now linking some of that into our application maintenance side and – but I see that area is just scratching the surface right now, Stephanie, and I believe we'll see more and more of that on the front end. And on the front end side, I mentioned the robo-advising, and I think that automation and technology will make its way in more places. But right now, it's really centered on that back-end infrastructure.
François Boulanger - CGI Group, Inc.: Yeah. And as indicated by George also, we are looking at it also internally, example in shared services, financial services and other processes at corporate. And we're seeing a good, good opportunity to see some efficiency.
Stephanie Price - CIBC World Markets, Inc.: Great. Thank you.
George D. Schindler - CGI Group, Inc.: Thanks, Stephanie.
Lorne Gorber - CGI Group, Inc.: Thank you, Stephanie, and thank you, everyone for joining us this morning. We'll hopefully see you at our AGM, the Q1 results in January or early February. Thank you.
George D. Schindler - CGI Group, Inc.: Thank you.
François Boulanger - CGI Group, Inc.: Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.